Operator: Welcome to the fourth quarter 2014 Cedar Reality Trust earnings conference call. As a reminder, this conference is being recorded. At this time all audience lines have been placed on mute. We will conduct a question and answer session following the formal presentation. I will now turn the call over to Jennifer Bitterman. 
Jennifer Bitterman: Thank you for joining us for the fourth quarter 2014 Cedar Reality Trust earnings conference call. Participating in today’s call will be Bruce Schanzer, Chief Executive Officer; Philip Mays, Chief Financial Officer; and Nancy Mozzachio, Chief Operating Officer. Before we begin, please be aware that statements made during the call that are not historical may be deemed to be forward-looking statements and actual results may differ materially from those indicated by such forward-looking statements. Due to a variety of risks and uncertainties, including those disclosed in the company’s most recent Form 10K and other periodic filings with the SEC, forward-looking statements speak only as the date of this call, February 19, 2015 and the company under takes no duty to update them. During this call, management may refer to certain non-GAAP financial measures including funds from operations and net operating income. Please see Cedar’s earning’s press release posted on its website for reconciliation of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will now turn the call over to Bruce Schanzer.
Bruce J. Schanzer: Thank you all for joining us for the fourth quarter 2014 earnings call of Cedar Reality Trust. On this call we will discuss our fourth quarter and full year results as well as our 2015 guidance. More generally, we will review the measures we are continuing to take to maximize the per share value of Cedar through the implementation of our long term strategic plan. I will also briefly touch on our recent capital markets activities which I will acknowledge bear more than a passing resemblance to the capital markets measures we took just about a year ago. These are exciting times at Cedar. This call is the first one in which Nancy Mozzachio is officially participating as our new COO. In addition, Lori Manzo is now in as our Head of Leasing. Both executives have hit the ground running in their respective roles and I am excited for the future of the company with them making ever greater contributions. I am also joined, as always, by Phil Mays our CFO, Mike Winters who recently bestowed the well-deserved title of Chief Investment Officer, Charles Burkert our Head of Construction and Development, and Adina Storch, our General Counsel. Of course, our secret sauce is our team culture and I would be remiss if I didn’t acknowledge the contributions of all the members of team Cedar who work tirelessly and with a diligent focus on everyday excellence. Although I will let Phil review our results in detail as well as walk you through our 2015 guidance, I would just note that our full year operating FFO per share of $0.54 and our fourth quarter operating FFO per share of $0.13 were both as expected. Similarly, our leasing efforts continue to be solid and continue to serve as a foundation for a lot of the other measures we are taking to push Cedar’s portfolio further out the quality spectrum. 2014 was an important year for Cedar as we shifted from defense to offense having concluded the last divestiture contemplated by our near term strategic plan to reduce leverage and strategically focus the company. As we completed the near term plan in early 2014, we began the implementation of our five part long term strategic plan: first, to focus on grocery anchored shopping centers between DC and Boston; second, to extract maximum value from our centers by focusing on operations and leasing; third, to grow the value of our centers by investing back into them; fourth, to actively manage and improve our portfolio by migrating our capital into higher value submarkets within our footprint; and fifth, to preserve and enhance value by building and maintain a strong and flexible balance sheet. With Nancy in her new role I have asked her to touch on the first two elements of our long term strategic plan, that is to not only review our leasing results in more detail, but also to review the status of some of our redevelopments. On the topic of capital migration, the third element of our long term plan, beginning in early 2014 we commenced the process of migrating some of our capital from lower density secondary markets within our DC to Boston footprint into higher density primary markets within the same geography. Generally speaking, the capital being migrated is currently invested in our lower two cortile shopping centers. Our first transaction in furtherance of this strategy was also our largest acquisition ever, Quartermaster Plaza in downtown Philadelphia for roughly $93 million earlier in the year. To fund this acquisition we divested eight relatively small shopping centers for total proceeds of approximately $95 million. Notably, the cap rate differential between the divestitures and purchases was between 150 and 200 basis points which is admitted, dilutive to our earnings in the short term. The eight assets that we sold have an average three mile population of 32,000 people and average base rents of $10.40 per square foot. On the other hand Quartermaster has over 320,000 people within a three mile radius, literally 10 times the number of people and average base rents of nearly $14 per square foot. As we enter 2015, we intend to continue this process of capital migration from less dense to more dense markets with a corresponding improvement in average asset quality. Currently, we have another grocery anchored shopping center in Philadelphia teed up at a purchase price of approximately $25 million which we have not identified by name, but which has over 350,000 within a three mile radius and average base rents of $17.60 per square foot. We hope to close on this center during the first half of 2015. We are in the process of selling two centers and recently closed on one center that together have an average of fewer than 20,000 people within a three mile radius with average base rent in the single digits per square foot for which we expect to generate roughly $18 million in the aggregate. I would also note on the acquisition front, that during the first quarter we acquired our 60% partner’s interest in the New London Shopping Center in New London Connecticut. This very high quality supermarket anchored center is a top half center within our portfolio and we are pleased to now own it in its entirety. Although we do not have any other shopping centers currently under contract, I want to give you a feel for what is hopefully coming down the road. We are actively working through a largely off market pipeline of acquisition opportunities, each of which would represent a top docile asset within our portfolio. Generally speaking, we expect to fund these purchases with the proceeds of asset sales, though to the extent we see continued strong performance from our stock, we will probably use some common equity or OP units as well. As with the purchases and sales we completed during 2014, there is a negative cap rate spread that will result in near term FFO dilution. We are endeavoring to minimize this dilution as much as possible through intensive leasing and management of our centers, a zealous focus on G&A, and opportunistic posturing towards the debt and equity capital markets. That said, on balance, we are much more focused right now on growing the net asset value per share of Cedar in selling weaker assets to acquire stronger assets, we believe we’re building the foundation for greater growth in NAV per share over a longer period of time and through different market cycles. Unfortunately, there is no way to perfectly predict which deals will culminate in completed acquisition, though I am cautiously optimistic some of the opportunities we are currently working on will break our way. What I would highlight, more than anything else is that my colleagues and I are not only working for US shareholders, we are working four ourselves as shareholders too. We are willing to suffer a more muted FFO growth rate over the next year or so in exchange for a dramatically improved shopping center portfolio that will all benefit from for many years to come as shareholders of Cedar. In terms of the last element of our long term strategic plan, that is our balance sheet, I will let Phil comment in greater detail on our recent equity offering as well as our recent term loans and line recast. I will admit that the parallels to 2014 are not completely a coincidence but rather reveal a strong bias for management towards prudent and opportunistic management of our capital structure. We are very pleased that once again investors in our offering were rewarded with strong share price performance immediately thereafter. I will conclude by noting that as a result of the equity offering, our leverage dropped to below seven times on a debt-to-EBITDA basis, over two times lower than when Phil and I started at Cedar about three and a half years ago. Moreover, our balance sheet is now roughly 70% unsecured from just about 100% secured when we started. Lastly, our covenants are now better suited to tapping other unsecured capital markets. I don’t want to steal Phil’s thunder so I will stop here and leave it to him to discuss the two deals and our balance sheet improvements in greater detail. With that, I give you Nancy to discuss leasing, operations, and our redevelopment pipeline.
Nancy H. Mozzachio: This evening I will discuss portfolio results for the fourth quarter and full year performance. I will also provide updates on redevelopment activity as well as operations more generally. As Bruce mentioned in his remarks, capital migration is a critical element of Cedar’s strategic plan. We are well underway in this portion of the plan and are continuing to upgrade the portfolio. Although consistent in leasing statistics throughout 2014, results do not yet reflect the full operational reward recycling will afford the leasing department and the company more generally. With that winds of economic recovery at our backs, and limited new retail supply, we made and will continue to make operational choices to deliver quality results over the long run which, in some cases, means strategically sacrificing short term occupancy for the sake of better replacement tenants at higher rents. Leasing volume for the fourth quarter was consistent with previous quarters throughout the year. We leased 28,782 square feet of space with new cash rents of $17.90. For the full year we leased $158,927 feet with cash rents of $16.59. Average base rents for the entire portfolio now stands at $12.73 versus $12.31 at year end in 2013. The majority of new leasing for the quarter was completed within first cortile assets, reaffirming the importance of the company’s strategy to recycle capital out of lower cortile assets and into denser high quality assets. Renewal activity within the quarter was strong, with 203,982 square feet renewed at cash spreads of 10%, our highest reported cash spread throughout the year. Notably, we renewed 969,585 square feet for the year, representing the high end of 2014 guidance at meaningful cash spreads of 9.2% and have completed 25% of 2015 renewals as of this call. Same store occupancy increased in the fourth quarter and we expect a slight dip in the first quarter of 2015 after which time we expect to gradually improve. The occupancy dip in Q1 of 2015 is the result of Cedar’s tenant portfolio management efforts where we allowed certain leases to expire to make way for higher quality tenants at current market rates. It is important to note that while these lease occupy a larger square footage, revenue generated from these leased spaces is relatively low and therefore we believe the time is right to accept vacancy in exchange for upside opportunity. Cedar’s redevelopment program advanced in 2014 where we delivered a Michaels store late in 2014 at Brickyard Shopping Center and expect to deliver the last junior anchor space in that center in late 2015. Wal-Mart Neighborhood Market at Kempsville Crossing continues to produce above projection weekly volumes and we are in advanced discussions with tenants for the last few spaces of this asset. In 2015 we expect to commence construction of an outparcel building at our Trexlertown Shopping Center with completion anticipated in late summer. The project will produce mid double digit returns. Additionally, we expect to commence construction on an outparcel building for two high quality tenants in the Upland Square Shopping Center in Pottstown Pennsylvania, an advanced entitlement on another project to add a grocer in Groton Connecticut. We have identified other redevelopment opportunities and hope to announce substantial plans for these value add opportunities within coming quarters. Now, turning to operations. It is worth nothing as operators within the northeast we are sometimes subject to adverse weather conditions such as the historic snowfalls occurring in New England resulting in higher than anticipated snow removal costs, some of which are not recoverable. From the G&A front, expenses ticked up a bit in 2014 as we previously announced strategic additions to the company’s asset management department. While we remain confident in the execution of the company’s strategic plan, we are acutely aware of the trade we are making in sacrificing occupancy in the short term in exchange for higher rent and quality tenants in the long term. As I look to 2015 in my new role as COO, I am confident that the steps we are taking today will lead to positive results on both the leasing and operational front in the coming quarters and years to come. With that, I give you Phil.
Philip R. Mays: On this call I will provide an update on our balance sheet and discuss our recent capital markets activity, operating results, and initial 2015 guidance. Let me start with the balance sheet. In 2014 an early into 2015 we took consistent and measured steps to both strengthen our balance sheet and improve financial flexibility. We ended 2014 with net debt to EBITDA of 7.4 times an after the $42 million common stock offering in January 2015 our net debt to EBITDA was 6.9 times. Additionally, just two weeks ago, we closed $100 million of unsecured term loans, essentially prefunding our 2015 mortgage maturities. These term loans consist of a five year $50 million term loan and a seven year $50 million term loan. Further, by obtaining a delayed draw feature and forward LIBOR swaps that begin July 1, 2015, we are able to better match the timing of our 2015 maturities and mitigate interest risks. The effective fixed interest rate beginning July 1, 2015 are 2.9% for the five year term loan and 3.4% for the seven year term loan. Notably, once our 2015 mortgage maturities are refinanced with these unsecured notes [indiscernible] 70% property NOI will be unencumbered. While we were engaged with our bank group closing these new loans, we also took the opportunity to extend the maturity dates and reduce pricing for our existing credit facility. As a reminder, our credit facility consists of a $260 million revolver and a $50 million term loan. The maturity date of the revolver was extended from August 2016 to February 2019 and the pricing was reduced 25 basis points. The maturity date of the term loan was extended from August 2018 to February 2020 and the pricing was reduced 10 basis points. One last note regarding the balance sheet. We ended 2014 with about $190 million of availability under our revolver. This is more than adequate liquidity especially given that our 2015 maturities are prefunded with the new notes. Moving to operating results. For the quarter, operating FFO was $10.3 million or $0.13 per diluted share. For the year, operating FFO was $42.5 million or $0.54 per diluted share representing 8% annual growth compared to 2013. This growth occurred not withstanding our reduction in leverage and capital migration activity as the timing of this capital migration activity provided a slight lift to earnings in the middle of the year. As you may recall, we completed the $93 million acquisition of Quartermaster Plaza in Q1 and then followed it with roughly a similar amount of dispositions throughout the remainder of the year. With regards to same property NOI growth including redevelopments, same property NOI increased 2.6% for the quarter and 1.6% for the year. When redevelopment properties are excluded same property NOI increased 1.9% for the quarter and 1.8% for the year. Now, to 2015 guidance. We are establishing a 2015 operating FFO guidance range of $0.51 to $0.54 per diluted share. The key assumptions underlying this guidance along with some color are as follows, same property NOI growth of 1% to 2% and relatively flat occupancy by year end. Due to the tenant move outs and leasing activity that Nancy discussed, we expect both same property NOI and occupancy will be impacted early in the year and gradually improve towards the end of 2015. Additionally, our guidance reflects a $1 million decrease in earnings from lower below market lease amortization, the recently completed equity offering and debt refinancings, and approximately $50 million of acquisitions. As Bruce discussed, we do have a healthy acquisition pipeline. However, the properties in our pipeline range significantly in value from $25 million to $100 million. The closings could occur in 2015 or early 2015. Some properties are unencumbered while others are highly levered, and certain owners have tax considerations that may result in transacting with OP units. Accordingly, we feel it’s prudent to only include in our initial guidance the recent $27 million buyout of our New London Plaza JV partner and the $25 million Philadelphia acquisition Bruce discussed. We will update our guidance throughout the year as we obtain more clarity around acquisitions. Lastly, please keep in mind that our $42 million equity offering completed early in January will create an initial drag as it closed prior to the anticipated $50 million of acquisitions included in guidance and represents a high ratio of equity to purchase price. With that, I’ll open the call to questions.
Operator: [Operator Instructions] Your first question comes from Todd M. Thomas – Keybanc Capital Markets.
Todd M. Thomas: A couple of questions, first Nancy, you mentioned the strong renewal spreads in the quarter. I was wondering should we expect to see those similar spreads throughout the year and hold steady or do you think we could see those sort of widen further?
Nancy H. Mozzachio: I would expect that in ’15 they’re going to continue, or could possibly widen. I mean, we widened as we progressed through 2014. It’s something that we invest a lot of time in, and as you know, we have a significant number of rolls even ’15 and ’16, but we thus far have completed about 25% of our renewals for 2015 and we’re seeing similar numbers.
Todd M. Thomas: Then you mentioned a bunch of outparcel and sort of redevelopment opportunities that are under way. I was wondering what the expected spend looks like in 2015 and I realize some of the projects might not be completed in 2015, but what do you think the returns, the yield on costs look like in the aggregate?
Nancy H. Mozzachio: Total spend for all the projects I mentioned, and appreciate that also includes Brickyard which started earlier than 2014, is probably in the $20 million range. But, returns to us are high single digit, in some cases double digit. 
Todd M. Thomas: At Trexler Mall and Trexlertown Plaza, any traction there on the leasing side?
Nancy H. Mozzachio: Yes. Well, Trexlertown Plaza, if you recall, we actually plugged in a sizeable tenant with Hobby Lobby, that was a little over a year ago and they’re producing significant sales at that site. The pad site that I mentioned will actually be out in front of the Giant parcel and we are, I think, three quarters of the way leased on that outparcel building. The Trexler Mall side, interestingly enough, we just recently signed something with a tenant for the endcap which is really the last piece of that old Giant that then relocated over to the Trexlertown side. It’s a very exciting retailer and we can’t wait for them to open and the expectation is roughly in late third quarter, possibly early fourth quarter of this year.
Todd M. Thomas: Then just last question for Bruce, sort of a bigger picture question. I think last quarter you mentioned that the top two cortiles of the portfolio which were about 75% of the NOI were sort of looking historically at growth of 2% to 3% and the bottom cortile was sort of a drag on that, closer to flat to 1% or so, and you had 1% to 2% guidance last year, you’re at 1% to 2% same store growth again this year, when do you think we should start to see growth increase for the portfolio overall? How much more sort of asset recycling should we anticipate before growth starts to trend higher?
Bruce J. Schanzer: That’s a great question and frankly, it’s a question that I have myself just if I were to be transparent with you. But, I think it’s pretty mathematical so what I would guide you to is the fact that again, as we continue to run this portfolio that’s made up of high quality top two cortiles which again, makes up 75% of our NOI with a focus on continuing to upgrade the quality by selling assets in the bottom two cortiles, as we divest those assets the same store NOI that gets kicked off by the top cortile assets will just be revealed in terms of being manifested in our numbers and not just being discussed on our calls. I think that’s something that will be a function of when we get the deals done that I alluded to earlier. Our order of operations, as we’ve always discussed is that we try to close on our acquisitions before we pursue the divestitures to pay for those acquisitions and that’s going to continue to be our strategy so what I would expect is as we’re successful in getting the transactions that are in our acquisition pipeline done, we’ll begin the process of divesting those lower cortile assets which drag down our growth and that will in turn lead to better growth in our portfolio.
Operator: Your next question comes from Nathan Isbee – Stifel Nicolaus. 
Nathan Isbee: A few questions, first of all on the New London acquisition, how did that come about? Did you guys initiate that or did the JV partner, and what was pricing on it?
Bruce J. Schanzer: We initiated that. It’s a process that went on for the better part of a year and it’s not worth getting into all the details of it, but it was something that we initiated again, a little bit over a year ago. The pricing is a little bit complicated only as much as we’re also partners with them in another asset San Souci, so I don’t think it would be instructive to start talking about cap rates or anything like that. But, it was done and constructed at a price that we were very satisfied with and we feel good about it. In fact, we were thrilled [indiscernible] considering again, we spent the better part of a year working with these folks on finalizing it.
Nathan Isbee: Was it buried in the footnote just because of the cost per word in the press release?
Bruce J. Schanzer: I’m not sure if I follow you there.
Nathan Isbee: Then any progress on the vacant but paying anchors?
Bruce J. Schanzer: Yes, I mean we are making progress there. I’ll let Nancy expand upon it, but we’re pretty close on a couple of deals. I’m reluctant, as we have been in the past, because we have some pretty sophisticated people on the other side, getting into too much detail on that, but maybe Nancy might want to expand a little bit more.
Nancy H. Mozzachio: To add a little bit, these deals take time to put through. It’s certainly not something that we expect to happen in a three month cycle. The good news is that we are progressing and we’re making forward movement in these deals and certainly the first opportunity we have to announce, we will definitely announce.
Nathan Isbee: Is there any expectation for deals in ’15?
Nancy H. Mozzachio: I would say yes.
Nathan Isbee: Bruce, I know you’ve talked about acquisitions a lot, but I’m just curious, your stock is clearly significantly higher than it was the last time you announced earnings, I’m just curious how the higher stock prices has changed your outlook perhaps in terms of what you’re willing to pay, etc., and in terms of the acquisition market in general?
Bruce J. Schanzer: I would say a few things. One is, we generally speaking, and Mike is here, we have a very good feel for what things are worth in our market so I can’t say that we would pay more or less for an asset based on where our share price is and also, I would tell you we’re shareholders in this company and so we’re pretty stingy with our equity as a general statement and aren’t really looking to necessarily lead with equity in terms of how we fund things. Again, our first approach to buying assets is really going to be is to continue to divest our lower quality assets in order to fund higher quality asset acquisitions. As a practical matter, a number of the folks that we deal with are interested in our stock either because they have tax considerations or because they’re intrigued by the direction the company is going in and they like the idea of being exposed to our stock. They think it’s a way to potentially get an even better return on their original real estate investment and we’re happy to engage with folks. We’re not satisfied with where our share price is right now, but we certainly recognize that it’s better than where it was and we’re comfortable in very limited situations, exploring the idea of using some stock in addition to the proceeds of assets sales to help pay for acquisitions. But I can tell you for sure, that we are not paying any more than we would otherwise pay for an asset because our share price is higher.
Operator: Your next question comes from Paul Puryear – Raymond James.
Paul Puryear: Bruce, just so we’re clear is the bottom two cortiles, are all those properties ultimately targeted to be traded out of?
Bruce J. Schanzer: I would never say all. For example, some of those assets are assets that we intend to invest into and hopefully improve their performance by virtue of making those investments. I would say broadly though, if you look at the fourth cortile, those are probably assets that are almost uniformly going to be divested and then the third cortile are assets that are going to generally be divested. I wouldn’t say all are going to be divested though.
Paul Puryear: There’s two properties listed in the supplemental, those properties are being actively marketed?
Bruce J. Schanzer: That’s right.
Paul Puryear: Can you give us any progress on that?
Bruce J. Schanzer: We’re making great progress on both of them. I would say that the smaller of the two assets we’re really far along on and we’re pretty close to closing. The larger of the two assets, candidly we’re slow playing a little bit because just again, we want to make sure that we have the capital or the deal – we hopefully have an acquisition done that we can then use the proceeds from that sale in order to cycle into that acquired asset and so we’re slow playing a little bit, but there’s plenty of healthy interest in the assets so we’re comfortable we’ll be able to sell it at an attractive price.
Paul Puryear: I was just wanting to start with if you could give us some information on the pricing for Huntington?
Bruce J. Schanzer: That was a pretty ugly deal. I’ll ask Phil if he has those numbers there, but that was a very small asset and probably was very high single digits or maybe low double digits. What was it Phil?
Philip R. Mays: I think if you look the AVR is below five, the occupancy is 65%, and that person is going to have to invest capital to probably take down part of the center and reconfigure it. But I think the cap rate was 10 or more, but it’s not great as far as [indiscernible] cap rate. I think the sale price was a couple million, because it is a redevelopment play that’s going to involve a fair amount of capital to put in and some timing on the lease up. But just a going in cap rate was probably 10, something like that.
Paul Puryear: The soft process behind taking Maxatawny back into the operating portfolio and could we see the same thing happen going forward with properties that you’re bringing into the held for sale bucket?
Bruce J. Schanzer: It’s unlikely. Again, Maxatawny, as a practical matter when these things sit out there for a while, at a certain point the accountants want you to take it back into the core portfolio which is part of it and the other thing is we’re continuing to lease up the center, it is performing reasonably well. It was originally a development asset and we had looked to sell it in the context of it being an underdevelopment asset way back when we started the process of divesting non-core assets. Over the time we’ve completed the development and again, it’s an asset that we’re likely to divest but it’s not one that we’re actively marketing in the way that the held for sale assets are being marketed. 
Philip R. Mays: I’ll add two thoughts to it. One, you’re really paying attention to the supplement to catch that and two, we just didn’t feel like we were getting fair value for it. We believe there’s multiple pads that could be put there and the bids that were coming in and the pricing wasn’t giving us fair value for that so we’re going to explore the outparcels a little more, and leasing a little more to make sure we maximize our price on that. We’re going to have it for more than a year so we just moved it back in.
Paul Puryear: I just wanted to get a little bit more color on the Philadelphia assets. If there’s any pricing information that you could give, what attracted you guys to the asset, is there redevelopment opportunities, lease up, just any more color on the asset?
Bruce J. Schanzer: I think I mentioned in my comment to the $25 million purchase price. The grocer is one of the top supermarkets literally, in the entire city of Philadelphia and so from [indiscernible] operator strength perspective, we felt great about it. Although there’s no redevelopment potential there, the leases are very strong leases, and that’s not surprising considering the strength of the grocer and so there’s a lot of embedded growth in it and the price was reasonable. With the embedded growth we’re able to clear our target return threshold for an asset like that. Then considering the density in our existing presence in the market, it’s just a very sensible deal for us to do.
Operator: [Operator Instructions] Your next question comes from Paul Morgan – MLV & Co.
Paul Morgan: Just in terms of the capital market transactions that you’ve done in the quarter, can you just give a little bit of color about kind of how you thought about the timing in terms of prefunding? The equity for the acquisitions and the debt for the mortgage maturities, certainly in retrospect it seems like you timed the cost of capital on both ends pretty well, but was it just opportunistic? On the acquisition side were you thinking things might close a little earlier, or how was the decision process?
Bruce J. Schanzer: I think clearly we don’t have a crystal ball here so the fact that it was good timing is something that we’re pleased with but certainly didn’t know it was going to happen. Last year, for example, when we did the same financing, I think we probably could have done a smidge better if we had waited to do it. But, the consistency between what we did last year and what we did this year is really more of a window into how we think about the capitalization of our business which is we’re really trying to take a conservative approach to how we finance ourselves. We’re very focused on making sure that we continue to unencumber our portfolio, that we continue to reduce leverage, and we also are trying to make sure that we’re planning for contingencies that of course, we can’t necessarily anticipate perfectly but we know potentially could come along, like a market correction associated with an interest rate spike, or some other type of market correction, and we have a business plan that does contemplate prudent growth through capital migration with some incremental capital being invested on top of it. We do have a need to refinance mortgage maturities and we just felt that, much like last year, it just made sense to get ahead of some of these challenges in order to ensure that things went smoothly even if it meant potentially leaving some money on the table, although fortunately in this instance it actually, probably, turned out that we came out ahead on the trade. 
Paul Morgan: Between the equity ahead of the acquisitions and the debt issuance, and what you mentioned about the equity on the occupancy side over the ramp of the course of the year, it seems like we’ll have a decent ramp in FFO from first quarter to fourth quarter. Have you thought about that? Is there a way for you to quantify what that might look like over the year?
Philip R. Mays: It should ramp up throughout the year and that’s what our forecast is. There will be a drag in the first quarter because of the tenant move out that Nancy talked about and with the equity offering being done prior to the acquisitions, so it will create a drag in the first quarter and the second quarter, and then we’ll start to ramp up after that hopefully. 
Paul Morgan: Given that you’ve locked down so much of the balance sheet side of things, what are the kind of key factors that would lead you to be at the low or the high end of the range? Is it just timing in terms of transactions? You’re store range isn’t that wide?
Philip R. Mays: Yes, it would mainly be timing and transactions with dispositions and acquisitions. That would be the principle driver there.
Paul Morgan: Then just last, I don’t know if it’s in the supp somewhere, but I didn’t see it, where are you now, today, in terms of the cash on the balance sheet after the transactions?
Philip R. Mays: How much cash is on the balance sheet?
Paul Morgan: Yes.
Philip R. Mays: There’s very little. I keep my treasury person under strict orders to always make it as small as possible. We’ve got a balance on the line, so literally every week she’s sweeping any excess cash, paying it down. We ended the year with almost $200 million available on the line and then with the equity offering out after that, it made almost the full line available to us. This is part of prudent cash management, we try to – other than escrows or restricted cash that we can’t get our hands on, every week we pay down the line. Hopefully, if you ever see a large cash balance on the balance sheet you know I wasn’t doing my job. But we try our best to keep it close to zero.
Paul Morgan: Where’s the line?
Philip R. Mays: The line ended the year at $72 million and then we did the $42 million equity offering just after the end of the year.
Operator: At this time I would turn the floor back to Bruch Schanzer for closing comments.
Bruce J. Schanzer: Thank you all for joining us this evening. We appreciate your continued interest in our company and look forward to sharing with you our continued progress in the quarters to come.